Arnold Donald: This is Arnold Donald, CEO of Carnival Corporation and Plc. Thank you all for joining us for our first quarter 2015 earnings conference call. Today I am joined by our Chairman, Micky Arison; David Bernstein, our Chief Financial Officer; and Beth Roberts, our Vice President of Investor Relations. Before I begin, please note that some of our remarks on this call will be forward-looking. I must refer you to the cautionary statement in today's press release. We are off to a strong start with our significantly improved first quarter earnings exceeding both prior year and December guidance. It is extremely gratifying to see the hard work of our team members pay off. It is the power of their efforts which have allowed us to overcome much of the impact of the dramatic currency movements that have plagued all global companies. Consistent with the strengthening of our business, our travel partners are helping to drive and are benefiting from our improved performance and we specially thank them for their support. Now despite the nearly $0.30 drag from currency movements, we continue to expect roughly 25% earnings growth over 2014 based on our improved operating performance. Looking ahead, we are working hard to accelerate that growth as we continue to execute along the path to a double digit return on invested capital through our two-pronged strategy. To drive demand in excess of measured capacity growth and to capture the inherent value of our industry leading scale. The 8% onboard revenue growth achieved this quarter is an affirmation of the inherent power of harnessing our collective effort as we embrace the fundamental behavioral change of communicating, collaborating and coordinating across our nine world-leading brands. The outsize growth in casino, bar and communication realized this quarter in part resulted from best practice sharing. This also marks the second consecutive quarter the Carnival brand outperformed. Despite a competitive Caribbean environment in the first quarter Carnival Cruise Line enjoyed a mid-single digit yield improvement. The brand remains on track for a strong year and beyond, the latter bolstered by a tremendous response by media, travel professionals and future guests to the unique unveiling of the Carnival Vista. During a three-day event in New York City, Carnival Cruise Line brought to life the enhanced guest experiences of that brands most innovative ship ever. Making its debut in 2016, this ship will feature a host of groundbreaking innovation including the first IMAX Theatre at Sea, an onboard brewery and SkyRide, the first pedal powered aerial attraction featuring some of the best views ever offered at sea. The Carnival brand continues to benefit from the rollout of Fun Ship 2.0 and its measurable lift in guest satisfaction, further driving greater guest retention. Additionally, the experiences create stronger customer advocacy, which is far and away the most powerful marketing tool for attracting first time cruise guests. Concerning demand creation overall, we are pleased with the constructive conversation around cruising ignited by our multifaceted campaign well timed during the part of wave season and built around the Super Bowl. That effort generated over 10 billion media impressions, nearly all of which were positive. Our ongoing public relations effort was furthered by the delivery of Britannia, the largest ship ever built specifically for British guests. The ship design was informed by extensive research among previous and potential guests and is iconic for many things trending positive in modern Britain. We were honored that the flagship of the P&O fleet was named by Her Majesty Queen Elizabeth II, drawing a worldwide audience and providing a ringing endorsement of cruising. The event generated a record for P&O of 1 million web visits that week including over 100,000 people viewing the naming online. In addition, the delivery and naming garnered over 1000 broadcasts on radio and television reaching even beyond the U.K. and anchoring us for future growth in what is today the second largest cruise market in Europe. Additional public relations impact was created early in the year when Princess Cruises sponsored a stunning award-winning float in the Rose Bowl Parade, which served to launch the brand's 50th anniversary celebrations. The original cast of the of The Love Boat TV series featured on the float helped generated over 400 million media impressions from the days prior and that follow. Those and other initiatives to drive demand have resulted in an ongoing improvement in our underlying fundamentals. We are enjoying a strong wave season and we are particularly pleased with demand for the Caribbean for the remainder of the year. Overall, our booking trends build confidence in our increased yield guidance as much of the year is already booked at higher prices. Moreover, we have less inventory remaining for sale, leaving us well positioned to strengthen pricing on the remaining inventory. Excluding the impact of currency, we expect a 3% to 4% underlying year-over-year improvement in revenue yield and we are working aggressively to continue that momentum. We have completed segmentation studies in three of our major markets including the U.S., the U.K. and Australia with significant learnings. The work allowed us to size the addressable market and validate the significant growth potential remaining in these markets. For instance, in North America half of the addressable market has not cruised yet and roughly 75% of the addressable market will plan to cruise in the next five years. We also identified unique preferences reflected in the typographic segments and we are using the output to further focus onboard offerings and acquisition marketing to what's guests most want in a vacation. Each brand is refining its core offering based on potential to capture more demand and preference and the ability to command higher yield. All of the brands have collaborated to improve and align on how we measure guest satisfaction. Now we have adopted a Net Promoter Score metric as a tool to help drive greater value. Enhanced Internet connectivity is another area of focus with the goal to further improve the guest and crew experience significantly. In 2014 we introduced our hybrid model Wi-Fi at Sea as a means to offload traffic via land-based tower to enhance the guest experience with faster connectivity. We piloted this model in the Caribbean and now we are introducing this technology to the Alaska market for the coming season. Our pilot program achieved a 40% lift in guest satisfaction as well as a 30% increase in revenue. This concept is now being piloted more broadly by the incremental bandwidth as well as adjusting price and plan. We have also made great strides in our global market planning and deployment. For the first time, brands shares unpublished itineraries to identify conflicts and maximize long term profits. We are opening new destinations and we are really excited about Amber Cove and the Puerto Plata region of Dominican Republic this year. Now following the review of our revenue management process by a team of dynamic pricing experts, we have created a roadmap to implement recommendations. We have already enjoyed some benefit as reflected in our positive yield results. There is much opportunity ahead to continue to share best practices and the science and psychology of pricing as well as price management systems. We continue to make strides on initiatives to leverage our scale and remain on track to achieve our previously announced $70 million to $80 million in cost savings this fiscal year. These savings are attributable to our recently completed air travel initiative which captures the benefit of consolidating our global air travel purchases as well as procurement savings and other major spin areas includes technical, food, beverage and shore excursions. Going forward, we have additional opportunity to leverage our scale allowing us to continue to offset inflation in future years. Now to further this step, we recently hired a Chief Procurement Officer, Julia Brown. She brings 25 years of large cap strategic sourcing and supply chain management. Of course, China presents the next great frontier for cruising and we are making great progress on this front. Our current four ships across two brands diversify our product offerings by targeting two different guest experiences, contemporary and premium. We are enjoying continuing growth and strong operating performance from both our Costa and Princess brand. Along with the two MoUs recently signed with CSSC and the China Merchants Group to explore joint venture opportunity, we are well positioned for future growth. China expects to surpass 1 million cruise passengers in 2015 and nearly 50% of those will travel on a Carnival Corporation ship. It's just a matter of time before China becomes the largest cruise market in the world. Importantly, we made continued progress towards enhancing our fleet while maintaining our commitment to measured capacity growth. This week we entered into a strategic partnership for nine ships expected to enter service in 2019 through 2022. That averages out to be roughly two to three ships per year which combined with likely ship exits, reflects our commitment to measured capacity growth. Included in this commitment is a new class of ship expected to be the most efficient ship we have ever built and which will add excitement to our industry and even further inspire first time cruisers. We believe we are continuing to execute along a clear path to a double digit return on invested capital. Now as we you know, we improved return on invested capital by nearly one point in 2014 and we still expect another point of improvement in 2015 despite the negative impact of currency. We are committed to driving relative scarcity by creating even more demand for our brands that outpaces capacity. We are focused on measured capacity growth by delivering innovative and significantly more efficient ships while at the same time removing from service less efficient capacity. We remain focused on driving yield growth in the low to mid-single digit range through higher ticket an onboard revenue while containing cost increases through our initiatives to lever scale. There are and will be challenges in our business every year, whether it's currency, fuel or geopolitical issues. Regardless, our path is to harness the inherent capability we have to deliver double-digit return on invested capital. We feel we are demonstrating that we begun to harness that capability and are firmly on the path to achieving double digit return on invested capital in the next three to four years. Thank you. Now I would like to turn it over to David.
David Bernstein: Thank you, Arnold. Before I begin, please note all of my references to revenue and cost metrics will be in constant dollars unless otherwise stated as this is a much more meaningful measure of our business trend. I will start today with a summary of our guidance topping first quarter results, then I will provide some insight into our current bookings and finish up with some color on our 2015 March guidance. Our non-GAAP EPS for the first quarter was $0.20. I am excited to report that this was $0.11 above the midpoint of our December guidance. The improvement was essentially driven by two things, $0.06, from net revenue yields, the majority of which was due to better than expected onboard and other yields as the improvement we saw in the back half of 2014 was repeated again in the first quarter. And $0.05 essentially from lower operating cost due to the timing of expenses between the quarters. Now let's look at our first quarter operating results versus the prior year. Our capacity increased almost 2%. The North American brands were up 3%, while the European, Australia and Asian brands also known as our EAA brands, were flat. Our total net revenue yields in the first quarter were up 2%. Turning to the two components of net revenue yields. Net ticket yields were flat in total and on both sides of the Atlantic on a constant dollar basis. However, I am pleased to say that when you remove the transactional currency impacts, net ticket yield on a constant currency basis was up 1%. The increase in net ticket yields was driven by improvements in European itineraries and Asia itineraries. This was partially offset by lower yields in the Caribbean which we expected. However, I would like to point out that we do expect the revenue yields to be up for the remaining three quarters of the year. Net onboard and other yields increased almost 8%, with similar increases on both sides of the Atlantic. This increase was considerably more positive than our December guidance. It was the third great quarter in a row for onboard revenue. Net cruise cost per ALBD, excluding fuel, was up 2%, which was less than we expected in our December guidance driven by the timing of expenses between the quarters. Fuel prices this quarter were down 38% versus the prior year which saved us $0.17 per share net of realized losses on fuel derivatives. The year-over-year impact from the strengthening dollar cost us $0.06 including both translational and transactional currency impact. In summary, the first quarter non-GAAP EPS was $0.20 higher than the prior year driven by improved net revenue yields worth $0.11 and lower fuel prices worth $0.17, both of which were partially offset by currency and higher net cruise cost excluding fuel. Now let's turn to bookings. Bookings during this year's wave season was strong, prices were up nicely and volumes were consistent with the historically high levels achieved last year. At this point in time, for the remaining three quarters of 2015, cumulative fleet wide bookings are nicely ahead at slightly higher prices despite the unfavorable transactional currency impact at our North American brand. Drilling down into the bookings patterns. First for our North America brand. The Caribbean and Alaska are nicely ahead on both price and occupancy which bodes well for pricing on future bookings. Booking volumes during wave season have been strong. They were on pace with last year's historical levels even though we started the wave period nicely ahead on occupancy. Prices on these bookings are also nicely higher. All other North American brand deployments combined which includes the seasonal European program are ahead on occupancy but at lower prices due to the transactional impact of currency. Booking volumes during the wave season again have been strong on pace with last year's historical results but at lower prices driven by transactional currency impact. Secondly for our EAA brands. European itineraries are nicely ahead on price and occupancy. Booking volumes for these itineraries during wave season were in line with forecast but down from prior year because we started ahead, it did not need as much volumes to fill. I am happy to report that the prices on these bookings were higher than the prior year. Looking forward to 2015. Based on the strength of bookings during wave season, we have increased our yield guidance for the full year. We now expect revenue yields to be up 3% to 4% versus the prior year on a constant currency basis which excludes both the translational and transactional impact of currency. The midpoint of the range is one full percentage point better than our December guidance. On a constant dollar basis, which does not exclude the unfavorable transactional currency impact, we still expect the yields to be up approximately 2% versus the prior year which is the same as our December guidance. In the constant dollar case, the underlying improvement in the business that we are forecasting from higher prices is offset by the unfavorable transactional currency impact. Now turning to cost. For the full year 2015, net cruise cost without fuel per ALBD are now expected to be up approximately 2% to 3%. This is a slight improvement from our December guidance because of the favorable impact of transactional currency. On a constant currency basis, we are in line with our December guidance. For 2015, we are forecasting the benefit from the lower price of fuel net of realized losses on fuel derivatives by $0.63, partially offsetting this benefit is the impact from both translational and transactional currency which costs us $0.51. Putting all these factors together, our non-GAAP EPS guidance for the full year 2015 is $2.30 to $2.50 versus $1.93 for 2014. Currency clearly remains a headwind. Since our December guidance, currency net of fuel price and fuel derivatives has impacted the full year by $0.26. However, we are encouraged by the underlying strength of the business which improved by $0.21 and largely offset the currency headwinds as the midpoint of our guidance only moved by $0.05. I did want to make one comment on our second quarter guidance to ensure that everyone fully understand the 6.5% to 7.5% increase in net cruise cost excluding fuel for the quarter. This is driven by the previously discussed increase in dry-dock days for the year which were disproportionately impacting the second quarter. On a final note. If you read the footnote in the press release at the bottom of the income statement, you will see that we revised the accounting for the marine and technical spare parts for one of our brands. Without the revision, we could have had a material impact on our future financial statements. The impact of the revision is $0.11 per share but that’s primarily spread out over the five year period from 2010 to 2014. The revision to the full year 2014 resulted in a $0.03 lower EPS of which a penny was in the first quarter. We expect to file an 8-K next month with all the prior periods revised for reference purposes. And now, operator, we are ready to open up the call for questions.
Operator: [Operator Instructions] Our first question is from the line of Robin Farley from UBS. Please go ahead.
Unidentified Analyst: This is [indiscernible] for Robin. Could you perhaps talk a little bit about what drove upside in Q1? Primarily if you could breakdown perhaps some of the upside you saw in the Carnival brand as well as some commentary if you could on the Caribbean environment post Q1 would be helpful. Thank you.
Arnold Donald: Good morning, Robin. I will let David comment first. Go ahead, David.
David Bernstein: Yes. If we talk about what drove the yields up in Q1, essentially as I had indicated, the onboard and other yields were up 8% and in constant currency, the net ticket yields were up 1%. So collectively together, the onboard had a disproportional impact overall. You know the Caribbean environment in the first quarter as I indicated in my notes, the pricing was lower, but we are looking at the Caribbean environment being positive for the rest of the year. It's been very strong in terms of bookings and Carnival is doing very well.
Operator: Thank you. Our next question is from the line of Steve Wieczynski from Stifel. Please go ahead.
Steve Wieczynski : So, Arnold, you talked about this a little bit just briefly in your opening commentary. But can you talk a little bit about your booked load position today relative to maybe where it's been in the past in terms of historical levels?
Arnold Donald: Both in North America and in Europe, we are ahead on bookings. The bookings are definitely stronger and they are at high yields. So we've definitely seen an improvement both from the hard work of our people within all the brands and with the additional PR and other demand creation activities, we've seen an improvement in the booking pace.
David Bernstein: And relative to historical levels, I mean, Steve, I think a year ago I indicated we were at the lower end of historical levels and we continue to make progress and move up, but we're still towards the lower end but we made progress and it's very positive trends.
Steve Wieczynski : Okay. Thanks. And then I guess with the announcement yesterday in terms of the ship order, the pretty large ship order. I guess, can you go into a little bit more detail about maybe what went into that in terms of why putting in such a big order at this point? Was it something to do with currency? Was it trying to lock up the yards where the yards give you some pretty good prices? Can you just give us a little bit more detail there?
Arnold Donald: Yes. Definitely nothing to do with currency. We at times just require more forward planning to our advantage to communicate with the yards and have a longer term plan because they have to work a lot of subcontractors. And it gives them the opportunity to plan further out and to be more effective in lining up those subcontractors. We also included in the non-ship orders, a new ship design and that requires additional forward planning as a prototype. And so that’s why we did it. We don’t have all the details yet. We have not signed contracts with each of the yards for each of the ships. We will be happy to share those details once we do that. But it was important for us to get out in front from a planning standpoint to empower the yards and to get in front of our new design.
Steve Wieczynski : Okay. Got you. And can I ask one real quick question to David. For David, for this accounting change that you just called out, I guess the question is, are different brands using different accounting practices? I'm just trying to understand what the difference is here.
David Bernstein: Yes. It's very simple. I mean we had one brand who is using -- we had two acceptable accounting methods which our auditors agreed with. But there was one brand that was using a different method and so what we decided to do was make the brands consistent just in case as we go forward in the future the difference became material. And so we decided to revise the accounting as I indicated in my notes. Overall, it was just $0.11 over a five plus year period. So it's a couple of pennies a year.
Operator: Our next question is from Felicia Hendrix from Barclays. Please go ahead.
Felicia Hendrix : David, this is for you. This commentary about transaction and translation has left a lot of investors and us very confused this morning. So I'm hoping that you can walk us through a few things. First is, can you just walk us through where this transactional impact is coming from? You haven't really broken it out before like this. And then the second point is, if your new net yield guidance is up 3.4% as ex translation and transaction, I'm just trying to figure out what the apples-to-apples is for your prior guidance for net yields for the year which was up 2% at the midpoint. If you ex out translation and transaction, what would that number have been?
David Bernstein: Okay. I think that’s three or four questions in there but I will try to answer them one at a time. The way to think of the constant currency that we are talking about is to think of it in terms of the prices that the consumer pays. And so we are talking of that in the local currency. So were talking about a 3% to 4% increase in yields in constant currency, then that’s a 3% to 4% increase in price in the local currency that the consumer pays. And that’s probably the most important underlying metric for us to look at in terms of the strength of the business. When you compare that 3% to 4% that we gave back to December, if you remember back in my notes in December, I did say that in constant currency the yields were up 0.5% more. So the two -- the comparison is back to 2.5%. And so it was approximately 2 in constant dollars and 2.5 in constant currency. And that’s why I indicated in my notes that we went from that approximately 2.5 up a percentage point to a mid-point 3.5. The difference between the two, I think everybody understands the translational impact when you have a brand like Costa in euros and you translate it back into U.S. dollars. That’s the translational impact as a result of the change in FX rates that we capture in the constant dollar measure. But the transactional impact, the best example of that is like Princess. Princess has a couple of ships sailing in Australia and they sell in the local currency in Australia. And when the Australian dollar moves compared to the U.S. dollar, transacting that back into U.S. dollars is at a different rate and that is what we call the transactional currency impact. Probably 80% of the [plus] [ph] of the currency impact that we have within the company is translational. And so when currency would move by small amounts on a regular basis, the constant dollar substantially accounted for all of the movement. But with the big moves in currency recently, if you look at our press release, you will notice that the difference between the current dollar yields and the current currency yields are 7.5%. Of that 1.5% is the transactional impact. So because currency has moved so much, the transactional impact has become more meaningful and therefore we wanted to disclose it to everybody and make sure people were aware of what was going on.
Felicia Hendrix : Okay. So that's very helpful. So as you said in your release, based on the current booking strength you're going to 3.4% and that's one point higher than your December guidance and it looks like you beat the quarter by, at the midpoint about 1 point on yield. So what I'm trying to figure out is, are you just passing through that upside or is your 3% to 4% inclusive of strength that you're seeing -- new strength that you're seeing in the rest of the year versus what you were seeing before?
David Bernstein: It's considerably more new strength that we are seeing and we did raise the raise the rest of the year. I guess the best way to kind of couch that is, I indicated that the net revenue yield was worth about $0.06 in the first quarter and we raised the whole year by 1%. So that’s worth, as we have always told you, about $0.17. So you can see not only did we flow through the first quarter but we raised the rest of the yield as well.
Operator: Thank you. Our next question is from the line of James Hardiman from Wedbush Securities. Please go ahead.
James Hardiman : Thanks for taking my call and just to sort of follow-up on that last, response to the last question. So you raised or you flowed through the $0.06 yield beat to the rest of the year. How should I think about that remaining $0.11? Is it more weighted towards 2Q or are we thinking evenly weighted to the rest of the year in terms of the yield increase on the guide for the remaining three quarters?
David Bernstein: From a guidance perspective we took up the remaining three quarters but I would like to point out that what we took up in the remaining three quarters was the [tick up] [ph] on the net ticket yield. We left from our December guidance for the remaining three quarters, we left the on board and other yield the same.
James Hardiman : And the reason there being, obviously you have a lot more visibility about ticket yields going forward than you do about onboard spend which obviously doesn't happen until it happens.
Arnold Donald: Yes. More visibility, James, and the other reason is we also have tougher comparisons going for us because we have had several quarters, beginning since late last year, with increased rates of improvement in onboard spent. So the comparisons are being a little tougher going forward too.
James Hardiman : Got it. And then, just a question on currency from a demand perspective. Are you seeing any impact in terms of bookings that you think represent the big appreciation of the American dollar? Whether it's more Americans interested in traveling overseas given the strength of that dollar on cruises or the relative value of a land-based hotel and some overseas destination. Do you think there's anything that's changed excluding the translational and transactional impact of currency just on the demand side?
Arnold Donald: On the margin there it could be a little bit of activity but we haven't really measured any significant impact of people responding to the currencies. And a lot of it is just how we price things, too, you know local currencies for the European brands, dollar for us. And so we haven't seen any big lift in anything. Alaska is super strong but, again, I am not sure that's a currency driven thing.
Operator: Thank you. Our next question is from the line of Steven Kent from Goldman Sachs. Please go ahead. Mr. Kent your line is open. We will take the next question. The next question being from Greg Badishkanian from Citigroup.
Greg Badishkanian : I'm here. So my question is, obviously you raised the yield guidance which is good to hear. And if you kind of think about the different regions, where do you feel stronger about for the current year? Where do you have more confidence? And just kind of breaking out, the 3% to 4%, is it going to be a little bit stronger in Europe than the Caribbean? How would you characterize that?
Arnold Donald: Well, I think clearly, we are expecting relative uptick in the Caribbean. Caribbean was really crowded last year and going forward we see strength in the Caribbean and there's going to be a different capacity level in the Caribbean. So that'll bode well as well and it's easier comparisons on the Caribbean relative. So Caribbean's going to be relatively stronger. We've seen strength in Alaska but overall we are seeing yield opportunities everywhere in the world. But on a relative basis, if you are looking for it, I would have to say relative basis the Caribbean will look even stronger than some of the others.
Greg Badishkanian : Yes. Good. And from what we can see, it looks like the Caribbean, especially Carnival brand, seems to be picking up throughout the year. So would you expect the Caribbean net yields that you're receiving to maybe accelerate throughout the year? Or is it a one-time step up function in the second quarter and won't be consistent?
David Bernstein: Yes. It's early to tell. But we are seeing a continued improvement in the overall environment, particularly in the third quarter where the industry capacity is down double-digits. So we are expecting to see a continued improvement, at least through the third quarter and it's very rarely for the fourth. But we are forecasting good strong yields there as well.
Operator: Thank you. Our next question is from the line of Harry Curtis from Nomura. Please go ahead.
Harry Curtis : Going back to your CapEx. As you layer in the progress payments for your new ship orders, to what degree will it impact your ability and desire to return cash to shareholders over the coming three years?
Arnold Donald: Well, first of all we are clearly focused on delivering double-digit return on invested capital. And as we move towards that and are successful in that, obviously we're going to generate a lot of cash. And the excess cash that's not being reinvested back into the business, as in the past, will be distributed to shareholders either through dividends and/or share buyback. So we do see an opportunity to deliver more to shareholders in that timeframe going forward based on our expected continued progress on the path of double-digit return on invested capital. While at the same time, having the capital required to invest in the business, to be able to sustain that performance and build on it.
Harry Curtis : Is it more likely that you take it -- go ahead.
David Bernstein: No, the only thing...
Harry Curtis : I am just wondering...
David Bernstein: Go ahead, Harry.
Harry Curtis : Bobbing and weaving. Okay. So I'm just wondering if it's more likely to see, first a lift in the base dividend versus more aggressive share repurchases.
Arnold Donald: That's a Board decision and we will make the decision at the time. Historically, it's kind of certain pattern but we will make that decision along the way.
Harry Curtis : Okay. And then...
Arnold Donald: It is nine ships and all that but the reality is it's still just two to three ships a year. And that’s not dramatically different than what we have done in the recent past here. Still measured capacity growth. Still managing capital. We have to -- the only way we are going to get double digit return on invested capital is through yield and revenue. But we have to be disciplined in cost containment and we have to be wise in our choice of capital deployment and ensure that any capital we deploy does give us double digit return on invested capital. So we have clear line of site on managing and expect to be able to return to shareholders.
Harry Curtis : That leads to my other question. Which is, how much net growth do you see in the fleet over the next several years and even beyond, as you layer in these new ship orders? And particularly, do you see much net growth in the key markets, being Europe and North America?
David Bernstein: On the contracted ships that we have through 2018, the compounded annual growth rate in capacity from '14 to '18 is only 3%. And that's with a calculation that was done with the currently announced ship exits. So the numbers may actually be slightly lower than that as we continue to remove ships from our fleet. I mean, we're removing four from the fleet in 2015 and we do expect that we will remove more in '16, '17 and '18. When you start balancing that between the markets and you just look at what is announced relative to the North America, European and Asian markets, within that 3% you're seeing a 1% to 2% increase in North America and Europe, the more established market, and like a 20% increase in Asia. So overall as we make more announcements, I think those numbers will continue to move probably lower in North America, Europe and higher in Asia.
Operator: Thank you. Our next question is from the line of Jaime Katz from Morningstar. Please go ahead.
Jaime Katz : Thank you. I guess my question is more surrounding this new chief procurement officer role and where you guys see the best opportunity to leverage or maybe use the entire business to reduce expenses and any insight you have to that. And then, if you have any added commentary on what brands you might prefer to add the new ships to that you announced yesterday, where those best opportunities are. Thanks.
Arnold Donald: You bet. I'll start with the new ship comment. The only color that I'll give that, I can't remember whether we sent a press release or not, is that some of those ships will be purpose built for China and so China is definitely a market that will be receiving some of those new ships. But in terms of the specifics on the brands, we're still working that through the brands and the yards and once we have concluded that, we will be happy to share it with you. And then the first part of your question concerning the procurement officer. Julia Brown is well known in the procurement field. She has had a highly successful track record at Kraft and now Mondelez and just a real star in procurement. And given the scale of what we have, we already have a line of sight on offsetting inflation as we've mentioned, $70 million-$80 million this year and we see that going on for several years. But it's in our best interest to have a top level procurement person overseeing that effort in collaboration with the brands to ensure that we not only deliver on it but have the opportunity to beat it.
Operator: Thank you. Our next question is from the line of Ian Rennardson from Jefferies. Please go ahead with your question.
Ian Rennardson: I have two questions for you. The first one is, it looks to me as if you've excluded the negative transactional effects in your yield guidance but left in the positive effect in the cost guidance. If that's so, what is the effect? What would be the like-for-like comparison on costs? And secondly, not being a currency expert, can you give me another example of what a transactional negative effect on yield would be, because it sounds to me like moving Aussie dollars into U.S. dollars sounds like a translational effect. I might be missing something there, though. Thanks.
David Bernstein: Okay. On the revenue and cost, basically because of the movement in currency we did get a transactional positive impact in costs and we lowered our cost guidance in constant dollars. So we did not increase our spending to offset that. We just allowed the transactional cost benefit to flow through. However on the revenue side, we had a negative transactional impact of revenue but we increased our expectations for pricing which offset the transactional impact on revenue. So in the end, the revenue guidance in constant dollars stayed the same but on the cost it went down. So hopefully that explains, it's clear. Now, you asked about the Aussie dollar and you said that it was a translational impact. It depends on the circumstance. So the situation that I gave was Princess cruises which is a U.S. dollar functional currency and when it's billed in Aussie dollars and it brings it back to U.S., that's transactional. Now, that is different than P&O cruises Australia which has an Aussie dollar functional currency and when you translate that back into U.S. dollars that is translational. So they have different basis and as a result it's two different types of transactions.
Operator: Thank you, sir. Our next question is from the line of Steve Kent from Goldman Sachs. Please go ahead.
Steve Kent: Okay. So can you just talk about the way you're handling costs? The timing keeps on getting pushed back. It seems like your guidance is consistently -- it's a little too conservative but then you say in your press release that the costs moved or you didn't use as much or what the issues are. It seems to me like that cost variable seems to be moving around and keeps on being pushed forward. And then the other thing is, near-term demand has been pretty strong the last few quarters leading to some of the earnings beat. Is that a change in the way the consumer is acting? I just wanted to understand that whether there's been [indiscernible] change and we're just seeing closer in bookings versus let's say five years ago or three years ago, or ten years ago.
Arnold Donald: Yes. I will answer the second part first. In terms of near end bookings, that has been a trend in the business in recent years that bookings were occurring closer and closer to time of sale. So that has been a trend. We are enjoining some improved booking curves now in terms of booking occurring further out, both in Europe and in the U.S. So that’s encouraging. It's not back to where it was, as David mentioned earlier on the call, in the past. But we are strengthening in the booking curves and that’s really encouraging. So, yes, the consumers have changed behaviors to an extent but we also see through the recent results that we can further improve our booking curves and ultimately our pricing. Go ahead, David.
David Bernstein: Yes. And as far as costs are concerned, Steve, I mean this has been -- we have talked about this a lot over the years. We have basically indicated that you should try to judge us on our cost for the full year as opposed to the quarter. I mean our cost base is almost $8 billion in total. So that’s $2 billion a quarter and we have to try to lay out exactly when we are going to spend every single dollar. And it's very hard within a three-month period to get it perfect. I mean things vary whether it's advertising expense or crew travel or some other hotel cost. It's very hard to pin down every single dollar in $2 billion for each quarter. But we do have plans for the year, people know what they are. They are flexible, they do change. But for the year we have a pretty solid guidance and we stick to those plans. But we don’t force people to spend it specifically in a particular month or particular quarter. We allow people to make decisions and change timing to optimize the business and that’s what you would want us to do over time. So hopefully that’s helpful and it shifts a little bit of a seasonalization between the quarters.
Steve Kent: Okay. And then just one other quick what on this. You say that currency was a headwind but better operational metrics closed the impact to only $0.05 headwind. How much did the lower fuel price help this though? Because your fuel price per metric ton guidance for the full year now has decreased by $30. I'm trying to get a balance of those two issues.
David Bernstein: Okay. I'll give you a couple of numbers so that you fully understand. On a full-year basis versus the December guidance, the currency impact was $0.28 and the net fuel positive was only $0.02. So that is net $0.26 headwind that we were facing. We improved our overall guidance by $0.21 and therefore the decline in the midpoint of $0.05. And most of that $0.21, as I indicated before, was the 1% increase in the revenue yield which is worth approximately $0.17. So that's how the math works. Your point about the fuel, yes, the fuel price did move. But one of the things the fuel collars or the fuel derivatives offset a big chunk of the fuel price movement. And the reason that that happened was while the brent fell, our fuel price did not fall by as much as brent because when we did our December guidance, the [crack] [ph] spread was 75%, roughly speaking and at this point in time it's 81%. So brent fell by far more, 6% or so more, than the price of the fuel that we purchase and so that's why it wasn't a perfect 50% offset there. 
Operator: Thank you. Our next question comes from the line of Assia Georgieva from Infinity Research. Please go ahead with your question.
Assia Georgieva : Congratulations on the excellent numbers. I had one quick question on the transactional issue. If we assume that the Princess Ship sales in Europe for a week long itinerary and prices at €1,000 per person, and we have a Costa ship sailing that those same dates for €1,000. Wouldn't we translate both of those at the same exchange rate? And David, are you just breaking down the Princess piece into transactional and the Costa piece into translational?
David Bernstein: Okay. All we are doing, basically in terms of the exchange rate, the rate of which would actually go back into U.S. dollars is the rate on the day that it was paid. So if theoretically both cruises were paid for on the same date, you use the rate that’s the cruise was -- the booking was paid on. And all we are doing is separating it between translational and transactional because a Costa would be translational because it's euro based, and the Princess would be transactional because it's U.S. dollar functional currency. So it's same magnitude if it was paid the same day but it's two different types of impacts.
Arnold Donald: And the reason why there is transactional -- the reason why I said it's transactional wasn’t as important in the past is because it represents a much smaller percent of our business.
Assia Georgieva : In terms of sourcing?
Arnold Donald: Yes. In terms of sourcing. So the movements and currency didn't affect the transactional to any great extent and why we what always have had translational and that's why in the past constant dollars were fine but now with the big movement in currency we have to look at local constant currency. As well as the...
Assia Georgieva : Great. This was very helpful. I appreciate it. And my second question relates more to the European-sourced passengers. They seem to be booking much closer for European sailings because they're closer to the actual port of departure and there seems to be a mentality of, I guess, closer bookings in general. After the unfortunate events, have you seen any change or is it still too early? Are people holding off?
Arnold Donald: Two comments. One is, in Europe we actually are seeing versus prior year and in previous few years, that the booking curves are further out. So we are seeing that both continental Europe and in the U.K. The events that you reference in Tunisia, that was just tragic incident and obviously we offer our sympathies to those directly affected and to the people of Tunisia. So that was a terrible tragedy. At the same time it represents 2% of our port calls, so from that standpoint, not overly significant. But beyond that the impact in terms of psychology of travel, whenever there are incidents like this, it affects the psychology of travel. And in difference source markets around the world, it affects it more or less. For example in North America some people are just nervous about going to all of Europe. They cannot think about specific locations. But at the same time, we will just have to monitor and see what the long-term effects are but there has been a history of the market response to these things and historically it dissipates and we feel confidence in the guidance that we have put forward to you based on what we can read at this time.
Assia Georgieva : Okay. Arnold, thank you so much for that color and David, thank you for running me through the example.
Operator: Thank you. Our next question is from the line of Sharon Zackfia from William Blair. Please go ahead.
Sharon Zackfia: Hi. Good morning. So most of my questions were answered. I won't ask about translation versus transaction again. I wanted to talk about the ad campaign. So obviously with the Super Bowl, you got so many impressions and you did kind of more of a consolidated multi-brand campaign, I think for the first time. How are you measuring the effectiveness of that? Does that change kind of your media strategy going forward? Just any thoughts on that would be helpful.
Arnold Donald: Yes. We have an internal joke here that almost anything that happens we blame it on the Super Bowl ad. So if the food is specially good in the cafeteria, we say the Super Bowl ad did it. But the reality is that following advertising's direct impact is always a difficult challenge. What we can measure is the level of communication. Web site hits, impressions, conversations around the brand. That we can measure. And so we know we had a lot more conversations generated about cruising. There is no question about that. We would hope that over time that translates to greater demand and ultimately bookings and higher yield. So we have confidence that that combined with all the work that brands already do, combined with the public relations that we have in general. Things like the naming of the Britannia, things like the Rose Parade, as I mentioned, with Princess, in the opening comments. All of those things create positive noise and consideration for cruising. And we do try to measure of course and we do track. And we try to measure uptake and bookings and so on to just make certain that we are getting the best result from the dollar and getting the return on investment. It's a difficult thing to do because we are also doing product enhancements on board and we know those. We can track that directly in terms of onboard revenue responses and in terms of guest satisfaction scores and what have you. So we feel it accomplished what we set out to do. We will be evaluating it through the course of the year to figure out what to do next, but we have four ships, three ships and a baby ship, that we want to introduce to the market in next year, in 2016. That’s going to provide us with tremendous opportunity for PR events to build awareness and conversation and we are going to factor it into our planning as well.
Operator: Thank you. Our next question is from the line of Stuart Gordon from Berenberg. Please go ahead.
Stuart Gordon: Just a quick question on the onboard spend. I was just wondering whether there's any way you could give us some color on disaggregating what I think you've commonly referred to as some changes in consumer behavior onboard ships and their spending? And what would be consumer recovery to get a flavor for where that boost in onboard spend is coming from, please?
Arnold Donald: Well, we always feel that the better the economy, the better off we are. But the reality is our onboard spend increase is across the board. So it's clearly not only tied to consumer response from economic improvements because it's everywhere. And so we know that it has been in part due to the stimulation of the brands working together, sharing ideas, building on each other's idea, sharing best practices. For example, the one example I gave, the Wi-Fi at Sea is a comprehensive conversation about how do we enhance connectivity on board the ship for both our guests and our crew. And coming out of that, a number of things were done collectively and some individually by brands based on the collective sharing and discussion. And ultimately it's led to a nice uptick in both guest satisfaction scores with connectivity and actually also in terms of onboard revenue. So we would see far more of the benefit coming from focused actions and efforts on the part of our outstanding employees that have revenue management responsibilities, onboard revenue management responsibilities, and they are working together and sharing best practices.
Stuart Gordon: Okay. And just to follow up. I mean obviously that's alluding to the fact that it's partly what you're doing to encourage changing consumer behavior. I mean, although the comps will get harder, does it give you some confidence that the acceleration in onboard spend and not forsaken to suggest it stays at 7.7% going forward, but it will stay better than perhaps GDP based thinking?
Arnold Donald: Well, obviously, we want to drive it as much as we can. And it's not so much change in consumer behavior as much as us listening to our guests and giving them more of what they want. And if you give them what they want, they will buy it. So, yes, we feel that we are going to work it and continue to work it. We think there is additional growth prospects but at this point in time, we think the prudent thing to do is the guidance that we guidance that we gave.
Operator: Our last question then will come from the line of Dan McKenzie from Buckingham Research. Please go ahead.
Dan McKenzie: Thanks, guys, for squeezing me in here. My question is on the revenue management practices. I guess, first, I'm just wondering how material that benefit is and then separately, just timing, is the benefit really limited to 2015 or is there an annualization effect that is going to continue to be a tailwind in next year as well as 2017?
Arnold Donald: Well, in terms of revenue management and dynamic pricing and all of that, that is an ongoing effort. It should yield results for some years to come. We want to accelerate the learnings we have and accelerate the adoption of those across the brands. It's very significant for us. We are at roughly 80 million passenger cruise days a year, so $1 a day across our fleet is $80 million and $10 a day is $800 million. So revenue management is absolutely a prime area of focus. It's the biggest driver we have and small tweaks add up to real dollars. So whether it's the actual tools that we use, the management systems that allow us to do more inquiry and change prices at smaller increments faster and so on and so forth, or whether it's actual presentation and psychology and packaging on pricing, all of that. All of those are areas that we continue to mine. We have got a clear line of sight from the study on about 21 different areas to explore. We are doing that. Luckily we are nine brands, we can do a lot of that simultaneously. Two in this brand, to in that brand. Get the learning and share it more rapidly. We have a guru in place, a coach, that’s there to monitor process and encourage the brands and make certain that the communication takes place across the brands. And it's going very well. So we have an expectation that, no pun intended, they will yield results for several years to come.
Operator: Thank you.
Arnold Donald: Thank you. All very much. I really appreciate your interest and we were happy to deliver the quarter and we are looking forward to building on that momentum. Thank you very much.